Operator: Good day ladies and gentlemen and welcome to the Badger Daylighting 2018 Year End Results. Currently, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] Also as a reminder, this conference is being recorded. At this time, I'd like to turn the call over to your host to Paul Vanderberg, President and CEO. Please go ahead.
Paul Vanderberg: Good morning everyone and welcome to Badger's 2018 fourth quarter and annual results conference call. With us this morning is our CFO, Jerry Schiefelbein; John Kelly our COO; and Jay Bachman, the VP of Financial Operations. Our 2018, Q4 earnings release along with the Badger's other annual disclosure documents were released last night and can be found on Badger's website and on CEDAR. We're required to note as we start here that some of the statements made on today's call may contain forward-looking information. In fact all statements made today which are not statements of historical fact are considered to be forward-looking statements. We make these forward-looking statements based on certain assumptions that we consider to be reasonable. However, forward-looking statements are always subject to certain risks and uncertainties and undue reliance should not be placed upon them as actual results may differ materially from those expressed or implied. For more information about material assumptions, risks, and uncertainties that may be relevant to such forward-looking statements, please refer to Badger's 2018 annual management discussion and analysis and Badger's 2018 annual information form. And finally, such statements speak only as of today's date and Badger does not undertake to update such forward-looking statements. So, with that out of the way, let's jump right into a great quarter. We are very pleased with both the fourth quarter and annual performance for the full year 2018. Revenue and adjusted EBITDA were record levels for both the fourth quarter and on an annual basis. In the fourth quarter, we had great year-over-year quarterly revenue growth combined with continued improvement in our margins. The improvement in margins we find particularly encouraging. Consolidated Q4 2018 revenue was $178.6 million, up 35% from the prior year. Q4 revenue was up an impressive 40% higher in our U.S. operations that in U.S. dollars and revenue in Canada was up a solid 8% compared to the prior year. Revenues in the U.S. operations were positively impacted by increased customer demand from both new and existing customers across the majority of our geographies. Q4 revenues included approximately $20 million of revenue for emergency response work related to both Hurricane Michael and the California wildfires and it was quite an interesting quarter because they both occurred during Q4. Emergency response work for fiscal 2018 for the full year was approximately $22.5 million. Badger's ability to respond with this level of service when our important infrastructure customers call in emergency situations is a real indicator of the benefits that Badger's industry-leading operational scale can provide. In our view, no other hydrovac operator is capable of providing this level of response. We continue to work on improving our customer service capabilities so we can provide this high level of service that our customers expect both on a day-to-day basis and also as we saw in Q4 on large-scale emergency response. Badger continues to increase its exposure to U.S. infrastructure markets. For full year 2018, our U.S. operations were 76% of consolidated revenue versus 72% last year. As previously discussed in our investor presentations, we are very optimistic that there is a significant runway to aggressively grow in the U.S. Q4 EBITDA was $47.9 million; up 39% from the prior year quarter that on revenue growth of 35%. For fiscal 2018, adjusted EBITDA was $161.7 million above the high end of our 2018 financial outlook range. We continue to be very pleased with the operational performance realized in gross profit and in adjusted EBITDA margins. For the fourth quarter, adjusted EBITDA margin was 26.8%, up 60 basis points from the prior year. 2018 annual adjusted EBITDA margin was 26.3%, 110 basis points higher than prior year. We should note that our fourth quarter results included a bad debt provision of $5.3 million, the majority of which was from a Chapter 11 bankruptcy that was filed by a large utility customer early this year related to the California wildfires. While we are disappointed that this occurred, we want to mention it given the timing of a great amount of Q4 emergency response work and the timing of the provision. In addition to the benefit of emergency response work on both the revenue and our margin, our continued focus on actively managing cost in particular direct labor and the impact of our strategic pricing initiatives all contributed to the higher profitability in margins. Cost management and the resulting improvement in margins is a testament to the discipline of John Kelly and his operations team. They really knocked it out of the park in 2018. This combined with the implementation of a wide range of business improvement initiatives across our operations. G&A expense as a percentage of revenue was 4.6% in the fourth quarter compared to 5% last year this driven by the higher revenue levels. We continue to make investments in Badger's infrastructure to ensure that we have the capability to support continued growth and capitalize on the significant market opportunity that we know exist out there. Net earnings for the fourth quarter of $23.5 million compared to $31.2 million in the prior year. Net earnings were impacted by the same drivers I noted a minute ago, combined with the fact that 2017 Q4 included a $17.2 million one-time recovery of deferred tax related to implementation of the U.S. income tax changes last year. I would like to highlight that the updated U.S. tax legislation has very positively impacted Badger's 2018 current income tax expense. Our 2018 current income tax expense reflects the benefit of both the lower U.S. federal tax rates and the updated U.S. bonus depreciation provisions. The operations team continues to successfully manage growth and manage fleet utilization. Q4 consolidated revenue per truck per month was approximately $37,800 up 19% from our RPT of $31,900 last year. Our 2018 annual RPT was $34,300 up 13% from RPT of $30,300 in last year. RPT was positively impacted by strong growth in revenue and the operations team active fleet management. This increase in RPT is impressive given that Badger added 112 net hydrovacs to the fleet in 2018 having built 191 units and retiring 79 throughout the year. At year-end, the fleet consisted of 1,221 units. I would also like to note that Q4 is the first quarter where our reported results reflected the updated RPT and revenue groupings, which we had communicated to the market in Q3. A detailed summary of these changes and comparative information including the impact of IFRS 15 is included in our 2018 annual MD&A. Now that we've touched on the financials, we'd like to add some color on general market and activity levels. Throughout the fourth quarter we continued to see revenue growth across our broad range of geographies and our broadening end-use market segments. As detailed in our 2019 financial outlook, we expect that these trends will continue throughout 2019. In assessing our year-over-year growth, I'd like to highlight that our annual 2018 results included as I mentioned a minute ago $22.5 million in emergency services work and this we don't know if it will recur or it won't recur in 2019. As reflected in our 2019 outlook, we expect RPT for the year to be slightly lower as compared to 2018 due to the amount of the emergency service work that was in our 2018 results. It's really difficult to predict emergency response work, but Badger stands ready to service those customers who operate critical infrastructure and life critical services for their customers and we stand ready to help them. If we take emergency services out of the equation, we continue to anticipate solid activity levels across the majority of our markets with good growth and volume growth as we expect along with modestly higher average rates due to our pricing initiatives. This was reflected in our Q4 and fiscal 2018 results, where revenue growth was driven by a combination of both volume and improved pricing. Improved activity levels continued to be supported by ongoing adoption of hydrovac and general market demand driven by economic activity. As many of you on the call are aware the Canadian oil and gas market has slowed. We continue to see opportunities on the infrastructure side of the Canadian oil and gas market, but what we expect and as included in our outlook, we expect the production side of the market will be slow for some time. However, we see significant growth in the U.S. and this market opportunity has enabled Badger to continue to expand our volumes and reposition our geographic and end-use market mix, because of this growth the Western Canadian oil and gas market, which was a substantial part of Badger five years ago is now a much smaller part of the business. Oil and gas in total, which would be both Canada and the U.S. for Badger accounted for approximately 27% of our revenue in 2018 compared to over 50% of Badger's revenue for 2014. While there are significant growth opportunities Badger sees across our operations, we continue to focus on recruiting and training operators. The strong U.S. economy has certainly provided challenges for us, this is what goes along with the excellent market opportunity that we have in the U.S. So we're very focused on our human resource strategies, recruiting on-boarding and training of our operators. Labor does present a challenge in the U.S., but it's matched up with that real positive market opportunity. We were successful in doing both recruiting and growing in 2018 and for 2019 it's all about Badger and the operations team doing it again. In our Q4 earnings release, we have confirmed our previously provided 2019 financial outlook of adjusted EBITDA of $170 million to $190 million, a truck build of 190 to 220 new units and truck retirements of 40 to 60 units. We continue to see positive momentum in the business for 2019 and we're encouraged by the revenue runway we saw as we exited Q4. In early Q1, we've seen more of a normal core seasonal slowdown in some of our northern markets due to traditional winter weather, but the team across our geographies is anticipating another busy summer construction season. The business trends in growth, we continue to see have provided us with the support to continue our focus on long-term shareholder returns. Badger's board approved a 6% increase to the dividend yesterday and that will be effective with the March 2019 payout. In addition to the dividend increase Badger repurchased and canceled 628,000 shares or 1.7% of the float during the fourth quarter under the current NCIB program we have in place with an additional 633,000 shares having been purchased and canceled to-date in Q1 this year. Now a quick update on our Common Business Platform project. As previously discussed, Badger launched a process to standardize our business processes and modernize our legacy IT systems into a single ERP system and we refer to this collectively as a Badger's Common Business Platform project. Efforts related to this project continued throughout 2018 and we're focused on redesigning processes and configuring the new system. The Common Business Platform project is on schedule and on budget with initial rollout scheduling to start in Q2 and continue through the remainder of the year. Regarding the balance sheet, Badger's balance sheet continues to be strong providing the necessary financial flexibility to support our growth opportunities and strategically manage overall capital allocation. At December 31, total debt less cash was $54 million or 0.4 times trailing 12 months compliance EBITDA. Before we move on to the Q&A, I'd like to spend a minute to review the tremendous progress, we're making toward our strategic milestones and to review these, there as follows; number one, to double our U.S. business from fiscal 2016 levels over the succeeding three to five years. Our 2018 growth in U.S. revenues was 30% on top of the 32% increase we experienced in 2017. We have had excellent progress in achieving this milestone. We're over 75% of the way to doubling our U.S. business from the starting point at the end of 2016 in just the second year of this three to five year milestone. The second milestone is to grow adjusted EBITDA by a minimum of 15% per year. Our growth in adjusted EBITDA for 2018 was an impressive 29% and this was on top of 2017 growth of 20%. We're making excellent progress also in achieving this milestone. Our third milestone is to target adjusted EBITDA margins in the 28% to 29% range. We are very pleased with 2018 progress on this milestone. Year-to-date margins reflect the positive impact of U.S. growth, our operating cost management, and a range of our business improvement initiatives. Our 2018 adjusted EBITDA margin was 110 basis points or approximately 4% higher than it was in 2017. Our fourth key milestone is to drive fleet utilization and revenue per truck above the $30,000 level. The status of this milestone is also excellent. For 2018, RPT was approximately 34,300 compared to 2017 RPT of 30,300. Utilization is key in driving our operating cost management, our pricing and growth and we continue to see great positive trends in all three of these operational areas. So with that summary, we'd like to turn it back over to the moderator for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Yuri Lynk from Canaccord Genuity. Please go ahead.
Yuri Lynk: Hey. Good morning, Paul.
Paul Vanderberg: Hey, Yuri, how are you doing?
Yuri Lynk: Very well. Paul, you've made good progress on improving the gross margin. I think your 2019 outlook calls for that measure to be flat next year despite the great progress you made. And also I think you've had a bad debt expense in 2018 as mentioned. So what are some of the offsetting factors? Or how are you thinking about gross margin being flat this year?
Paul Vanderberg: Yes. Well, I think of if more is being consistent year-over-year. And when you look at the trends that were out there, the biggest change is, are we or are we not going to have the volume of emergency response work? That had a very significant impact on our margins this year. And we are taking a look at our range of our EBITDA guidance. And if you do a little bit of winded adjustment for the emergency response work that's included in there and you look at the midpoint, we're still looking at about a 15% to 16% increase in the midpoint of the 2019 overall guidance versus an adjusted 2018 actual. So we're pretty comfortable with that. You might accuse us of being a little conservative on the margin side, but that's where we went into the guidance late last year and we're very comfortable with that going into 2019.
Yuri Lynk: Okay, that's fair. It looked like your Canadian EBITDA margins contracted quite a bit year-over-year in the fourth quarter. Anything to explain on what went on there in Canada?
Paul Vanderberg: Yes. There's nothing really significant or any major issues there. We had a number of the expenses in Canada in the quarter, nothing in this single major category that would have been higher in Q4 over the previous year. So there's nothing that was driving that in a singular nature. That's just timing. And for the full year though as what I'm really tracking here, our full year margins are about two-tenth of a point higher in Canada year-over-year and those are the trends that we see continuing.
Yuri Lynk: Okay. Last one for me before I turn it over. Just a quick update on the chassis lead time and if you're having any trouble getting chassis in.
Paul Vanderberg: Yes. Well, the lead times have continued to kind of expand. They're still running in the range of a little over a year. So those of you who have been to the plant can appreciate the planning and logistical challenges of buying that far ahead. But the team has done a great job and I'm very satisfied that we're going to have the chassis we need and we stay very close to our suppliers in the ebb and flow of their order book too. So when you look at lead times over a year, it's a pretty good KPI on the strength of the U.S. economy for sure, which is very positive for our business.
Yuri Lynk: Okay. I think, when I asked that question in the summer, it was about eight months, is that right? So we've gone from eight months to a year?
Paul Vanderberg: Yes. It has stretched out as we've gotten further end of the year. Yes. The U.S. economy is extremely strong.
Yuri Lynk: I'll turn it over. Thanks, Paul.
Paul Vanderberg: Thanks, Yuri.
Operator: Thank you. Our next question comes from Jonathan Lamers from BMO Capital Markets. Please go ahead.
Jonathan Lamers: Good morning.
Paul Vanderberg: Hey, Jonathan.
Jonathan Lamers: Paul you flagged during your commentary that we're seeing heavy winter so far in Q1. I believe we had some pretty heavy winter weather in Q1 of 2018 as well. Can you comment on sort of how significantly this is affecting activity levels versus last year?
Paul Vanderberg: Yes. Sure Jonathan. It's really the timing of some of the winter we've seen. The Upper Midwest, into the Ohio Valley and in Ontario, have been the regions that have had a more of a traditional winter. And it's not a matter of much of a change from previous year, but it's -- it makes slower growth a little bit in some of those segments. But we're still seeing very good growth in other segments that's some of the advantages of Badger's growth in the U.S. and the expansion of our geographic diversification.
Jonathan Lamers: And I believe within your construction exposure there is a fair bit of public sector work. Did the U.S. federal government shutdown have a material impact to date?
Paul Vanderberg: No we haven't seen any impact from the shutdown at all.
Jonathan Lamers: And as I look at your end market disclosure in your annual information form, there's quite a notable shift in business mix toward the utility customers. A part of that would be the disaster response work? Has there also been kind of a strategic focus from your national accounts group on those customers?
Paul Vanderberg: Yes. Well, we continue to focus on those customers. The utility segment is excellent business for us. You not only have new construction, but you also have a lot of day-to-day maintenance, so it's a really nice baseload for any branch that Badger starts up in any market we go into. So we continue to have very good success with our corporate accounts, our sales and marketing programs and we're really in the early days there. And you're very correctly indicated that the emergency response was a significant opportunity for us. And we've really focused on the utilities segment. When you think about utilities, these are very large operators of sophisticated infrastructure systems and the services they provide are critical. Electricity, gas, these are critical services for people. And they stand on their heads to service their customers. And Badger is a great fit as a supplier-partner for them and a service partner, because we also stand on our heads to service our utility customers. And we think it's a great fit and we think it's a real natural part in a very attractive and growing part of our business going forward. So we really like the utility customers and John and the team continue to work on ways to improve our service to them.
Jonathan Lamers: Thanks. I guess one more question. Just on the cost controls, which seem to be quite effective, can you provide us with any commentary on what's working well? And maybe what success you've had with recruitment and retention now that you're a little further along in that process with your new recruitment partner?
Paul Vanderberg: Yes. Well we continue to focus on this. It's very important for us and improving our recruitment, the fit of initial candidates, onboarding training and retention is a major opportunity for us. Those costs the cost of turnover have been reflected and buried in Badger's historical financials. And to the extent, we can improve our performance there it drops straight to the bottom line. That's number one. Number two, recruitment is critical to support our very strong growth especially in the U.S. So we can build the trucks, but you can't provide the service unless you have the trained operators. And so we are critically focused on recruiting, training and retaining. That's one of our four strategic initiatives that we outlined last November at Investor Day. And the reason it's so critical is that there's such a significant U.S. market opportunity out there and the growth runway we see is very, very strong for a number of years. So this is key to our execution key to capturing growth and key to delivering value for the shareholders over the next number of years. So you're going to see us grinding away at that looking at ways to improve and there will be more that we'll be talking about as we had some new initiatives coming out throughout 2019.
Jonathan Lamers: Great. Thanks for your comment.
Paul Vanderberg: Thanks, Jonathan.
Operator: Thank you. Our next question comes from Maggie MacDougall from Cormark. Please go ahead.
Maggie MacDougall: Good morning. 
Paul Vanderberg: Hi, Maggie.
Maggie MacDougall: Just a question on your Canadian market. The growth was pretty strong on the revenue side considering softness in Western Canada. And so wondering if you're able to provide some insight into the types of work that's driving that. I know it was mentioned the infrastructure and construction projects, but whether or not those are sort of government-sanctioned projects or private sector projects. And your view on the continuation of that type of growth rate in the Canadian market?
Paul Vanderberg: Okay. Yes, I mean, the 9% approximate revenue growth in both Q4 and the year, it's solid growth. Nothing like the U.S., but we're very pleased with it. And as your question indicates, it really comes from a range of opportunities. As I commented on earlier, we don't see a lot of a real opportunity for big growth in the E&P section in Western Canada, but we do continue to focus on the infrastructure and pipeline side of the oil and gas segment and the team has done really well there. In 2018, it's a big focus area for us. And the pipeline segment has always been a focus at Badger historically. We have some very, very good customers there that we're partners with. And then, broader infrastructure projects, it's really a wide range of things. There's some very attractive transportation projects continuing to roll on in Ontario and a wide range of municipal opportunity out there too. And I'll use in Toronto know the vertical construction market is very strong and there's a lot of related infrastructure that needs to be hooked up and linked in as vertical construction continues very strong in Ontario. Those would be the major, major areas there.
Maggie MacDougall: Okay. Great. Thanks. And then I'm not sure if you've covered this so I apologize. I was late joining the call. But wondering if you're able to give us some sense as to the difference in margin between sort of like a typical work and an emergency work situation?
Paul Vanderberg: Yes. We don't really disclose margin by that type of detailed segment Maggie. But as you can imagine, when we have a surge of volumes and it comes on big projects, we obviously have to manage the cost very tightly and John and the team have really done a great job on that. But that surge in volume helps us leverage our indirect cost and our fixed cost, so it really has a leverage effect on our bottom line margins. And the nice thing about it is the team has gotten better and better at our emergency response strategy, how we coordinate with our utility customers in these situations to be very efficient and provide them effective service, because the name of the game is getting these services back on as quickly as possible for the folks that need these essential services. And sometimes that can hurt your cost management, but like I said John and the ops team has done just the opposite. They've done a really good job in managing that. And it's really driven by the close relationships and close coordination we have in these situations with our customers.
Maggie MacDougall: Have you found that being able to provide that response this year has helped you develop better relationships with utility customers and other kinds of people who need help in those situations?
Paul Vanderberg: Well, we certainly hope so. And as I mentioned earlier, our service model is to respond to the call and that level of service and that DNA is very similar to our large utility customers' level of service in their DNA. So we think this is a great segment for us and a great fit, and we continue to work on those relationships and try to improve our internal processes, how we coordinate, how we plan ahead for hurricane season, and all sorts of things in conjunction with these important customers of ours.
Maggie MacDougall: Okay, thanks. And then just one final question. Wondering if you could comment on the competitive environment both in the U.S. and Canada. And if there's any particular item worth noting in a given market that would be great as well. Thanks a lot.
Paul Vanderberg: Yeah, okay. Thanks, Maggie. I mean, the hydrovac business has always been a competitive business. And I think in fact, Tor Wilson, he would have said that 10 or 15 years ago. And the thing about hydrovac is that we're seeing broader geographic adoption of hydrovac and adoption of hydrovac in the U.S. as a preferred method of safe and nondestructive excavation. So this is going to attract other players and we fully expect that. That's always been the case in the hydrovac business. We think the technology is tremendous and it provides a lot of value for the owners of infrastructure in protecting their important assets. And we want to be there at the lead in marketing and explaining the features and benefits of hydrovac. There will be people that also come along, but Badger is always going to get more than our share. And the fact that we've been able to establish through our sales and marketing programs, first-mover advantage and a lot of our newer markets has been a very important factor of our overall economic success.
Maggie MacDougall: Okay. Thanks a lot.
Paul Vanderberg: Thanks, Maggie.
Operator: Thank you. [Operator Instructions] Our next question comes from Elias Foscolos form Industrial Alliance Securities. Please go ahead.
Elias Foscolos: Good morning.
Paul Vanderberg: Good morning, Elias.
Elias Foscolos: I wanted to focus on the disaster recovery. You mentioned that the year was about $22.5 million with $20 million in Q4. Does that $20 million is that inclusive or exclusive of the bad debt number on the revenue side?
Paul Vanderberg: Yeah, that would have been the gross revenue number.
Elias Foscolos: Got it. Now from an anchor point perspective, could you and maybe I miss this in the documentation? Could you tell us what that was in 2017 or approximately -- twice as much four times? And maybe specifically relating to Q4?
Paul Vanderberg: Yeah. It would have been -- 2017 based on our best estimates would have been a little bit under $5 million for the full year. And maybe half of that was in Q4.
Elias Foscolos: Okay.
Paul Vanderberg: Those are our best estimates internally at this stage.
Elias Foscolos: Okay. So when you're talking about normalizing it Paul, you're probably seeing somewhere between $5 million and let me say $25 million is where you might see normal disaster revenue. Would that be sort of a fair guess?
A – Paul Vanderberg: Well we haven't really attempted to normalize disaster revenue. It's very unpredictable. And I have made some comments a little bit ago about the fact that we really have not factored in predicting disaster revenue in our 2019 guidance.
Q – Elias Foscolos: Right. Fair enough. I'll move on and appreciate that color. Seasonal slowdown, you're talking about the regular Q-over-Q quarter seasonal slowdown, I'm assuming versus a year-over-year type slowdown. Is that correct?
A – Paul Vanderberg: Yes that's correct.
Q – Elias Foscolos: Okay. And finally related to truck builds. And it's a little bit of a follow-up from the other question. We did see what I calculate to be a significant slowdown in gross truck builds in Q4. The question I've got is going to be a little multi-faceted here. The first one is, given the chassis extensions, you mentioned that's an issue, how much of that slowdown was intentional versus maybe a supply chain issue? Because I'm trying to reconcile a strong outlook in the U.S. versus a slowdown in truck build?
A – Paul Vanderberg: Yes. There are no supply chain issues that have impacted us and we have no anticipation of any supply chain issues that it would impact us Elias. And part of this -- I don't know are you looking at the capital spending numbers in Q4?
Q – Elias Foscolos: No, I just subtracted the growth truck build from the Q3 number and I think there was a net 30 build, so I didn't focus on capital. And you're running at a run rate of 55.
A – Paul Vanderberg: Yes. I just wanted to address your specific question. And we did intentionally slow down our build going into the fall. The plant was really cooking along very efficiently in the summer and into the early fall and we just didn't want to have too many completed Badgers on the fence and we wanted to be very efficient with shareholder capital. So it was intentional. And as you can imagine, we're ramping back up for the summer season. Traditionally, the demand for hydrovac slows down as winter comes on and it's a little slower in Q1 and then it really picks up as we go in the spring construction season. And that's part of our annual planning cycle at the plant.
Q – Elias Foscolos: Okay. So you're sort of no risk at the moment of course in the 190 to 220 type number for truck build?
A – Paul Vanderberg: Yes. Given our revenue thinking behind the EBITDA range, those trucks that 190 to 220 range dovetails in very nicely and we're very confident we can build those trucks. We built 220 back in 2014 and we've expanded the plant since. And we haven't really tested it. I'd like to test it the next year or two. Looking forward to that opportunity. And I think the U.S. team may give us a chance to do that. But we're very comfortable with our position and our ability to deliver the Badgers.
Q – Elias Foscolos: Sure. That's a great answer. And one last thing on trucks, when I look at trucks between Canada and the U.S., I’m just -- fair assumption to make, but all the net growth is going to go into the U.S. and Canada will remain relatively flat if not decline slightly?
A – Paul Vanderberg: Yes that's a great question. I think you're reading John's mail and he looks at that very closely. We'll be watching very closely in the spring break-up here that's upon us in Alberta to see what prospects look like going into the summer and the fall. And less of a concern in Ontario in our Eastern markets where we have some ongoing growth expectations for 2019. And the beauty of our business model is, if we have an opportunity, we'll move that truck and we'll put it to work. Our track record of doing that is very good and well proven and we will certainly do that in 2019. But the one delta that we're watching closely now is what happens in the Alberta market with spring break-up and how the summer and fall activity levels look. So we'll aggressively move trucks around and we're very focused on maintaining our RPT and our capital efficiency on that side of the business.
Elias Foscolos: Great. No, I -- thank you very much for the color and I'll turn the call back over.
Paul Vanderberg: Okay. Thanks, Elias.
Operator: Thank you. Our next question comes from Jonathan Lamers from BMO Capital Markets. Please go ahead.
Jonathan Lamers: On the normal course issuer bid, Paul, if the business keeps performing the way it has, there will be quite a bit of excess cash again for 2019. How is the Board thinking about the NCIB at this point?
Paul Vanderberg: Yeah. Well, the Board is very pleased that we had our NCIB in place for 2018. The current authorization runs through May or until we buy the full 2 million shares, under that authorization we have approximately 700,000 shares left. And as we get to the point of either the May date or purchasing the full 2 million authorization, we'll decide what to do -- our next steps as a Board. But we're very pleased with having the NCIB in Badger's toolkit and putting that tool to work in 2018 and we'll be considering that in the go-forward as part of overall capital allocation and driving long-term shareholder returns. And I agree with you, Badger has the balance sheet with this flexibility to be able to work these strategies on behalf of our shareholders. So, the Board is right there with you.
Jonathan Lamers: Okay. And one follow-up on Canada, if I can. Can you just update us on your progress building out your footprint and cost structure in Québec and I guess to a lesser extent in Ontario? And did that have any affect or would that have an effect on the margin in Q4?
Paul Vanderberg: Yeah. No, as far as the higher expenses, no, not a significant effect on that. And we're very pleased that we're rebooting in Québec and we're very early days, but we're back servicing Montréal and we've also expanded in the Gatineau through one of our operating partners there. So, we're extremely pleased with that progress. It's very early days and we think that the Québec market long-term for Badger is an excellent one and we're going to be there and working to improve that as we go along and drive our volumes there, just like we do everywhere else that we operate. So, very early days. Just in the last couple of quarters, we've really gotten rebooted there in Montréal. So, we're very excited about it.
Jonathan Lamers: And how did the Ontario team do with respect to taking market share in 2018? And how are things looking for them for 2019?
Paul Vanderberg: Yeah. The market share question is one that it's a little challenging to get a good denominator on the size of the market there. We did have decent improvement, solid improvements in our volumes there and we're looking forward to another good year in 2019. I can't tell you, for sure, if we gained share there, but we certainly did grow volume there.
Jonathan Lamers: Do you see a need to get price in order to get that volume?
Paul Vanderberg: We work both volume and price to Badger's benefit across all of our markets, including Ontario in 2018 and we've been very pleased with the progress there. It's been very helpful.
Jonathan Lamers: Thanks again for your comments.
Paul Vanderberg: Well, thanks, Jonathan.
Operator: Thank you. I show no questions in the queue. At this time, I'd like to turn the call to Paul Vanderberg, President and CEO, for closing remarks.
Paul Vanderberg: Okay. Thank you, Dylam. On behalf of all of us here at Badger, we'd like to say thanks to our shareholders, our customers and our employees for your ongoing support. That's what really drives Badger's success. So, I appreciate your participation in this Q4 call. And Dylam, you can end the call.
Operator: Thank you, sir. Thank you, ladies and gentlemen for attending today's conference. This concludes the program. You may all disconnect. Good day.